Operator: Welcome to the Grupo Financiero Galicia’s Second Quarter 2011 Conference Call. Today’s event is being recorded. At this time, I’d like to turn the call over to Mr. Pablo Firvida. Please go ahead, sir.
Pablo Firvida: Thank you. Good morning ladies and gentlemen. Welcome to the Grupo Financiero Galicia second quarter of fiscal year 2011 conference call. I am Pablo Firvida, Head of Investor Relations. With me today are some members of the management of the Bank and Grupo. We want to thank you for attending this call. I will make a short introduction in order to explain the operating conditions under which the reported results have occurred and summarize the Bank’s performance during the quarter. Then we will take your questions. Some of the statements made during this conference call will be forward-looking statements within the meaning of the Safe Harbor Provisions of the U.S. Federal Securities Laws. These forward-looking statements are subject to risks and uncertainties that could cause actual results to differ materially from those expressed in the forward-looking statements. During the second quarter, the expansion of global economy recorded a deceleration when compared to the previous quarter. Well doubts about the solvency of certain European emerging economies and about United States level of indebtedness increased uncertainty and volatility in the financial markets. Under the influence of this international scenario, the Argentine economy maintained its good performance and growth rates were even better than expected. Private estimates point to a 1.9% growth for the quarter and Argentine GDP could grow between 6.5% and 7% for the whole year. During the quarter, national fiscal revenues increased 31% year-over-year showing a deceleration as compared to the 36% recorded in the first quarter, while primary expenditures kept the expansion pace of the previous quarter and grew 32% year-over-year. Though we expect an acceleration for the third quarter, as a consequence of the elections that will take place in October. The primary surplus for the quarter amounted to Ps. 6 billion, Ps. 1.6 billion lower than a year before. And after interest payments for Ps. 7.8 billion, the global balance was at Ps. 1.8 billion deficit. Consumer prices maintained its growing pace increasing 2.4% in the quarter, as measured by the official index and 5.4% according to private estimates, while annual inflation as of June 2011 reached 9.7% and 21.6% respectively. On the monitory front, the portfolios registration process in the second quarter was significantly higher than in the previous one, as a consequence of the international uncertainty, and as we get closer to the electoral process. We estimate that outflows were around US$6 billion compared to US$3.7 billion for the prior quarter. The Argentine Central Bank expanded the monitory base by Ps. 17.4 billion in the quarter and the exchange rate increased from Ps. 4.25 to Ps. 4.11 per US dollar during the quarter, representing a depreciation of 1.5%. Average interest rates paid by private banks increased during the quarter. Rates on term deposits in pesos for up to 59 days increased to 10.57%, 97 basis points increase from March 2011. The rates on overdraft ended the quarter at an average of 18.37% with a reduction of 81 basis points. Private sector deposits at the end of the quarter amounted to Ps. 296 billion with a 9.4% growth during the quarter, and a 35.6% inter annual increase. Term deposits increased 4.5% in the quarter while transactional deposits grew 13.3%. Total loans to private sector at the end of the quarter amounted to Ps. 237 billion, a 12.4% increase in the quarter and a 47.3% inter annual increase. Turning now to the Bank; net income for the second quarter amounted to Ps. 247.7 million, 3.4 times the Ps. 72.8 million profit for the same quarter of fiscal year 2010, primarily due to a significant increase in the volume of activity with the private sector and of the results stemming from the incorporation of CFA. This was a consequence first place to the significant increase in the volume of activity with the private sector, with credit to the private sector growing 48.3% year-over-year and deposits from the private sector growing 49.8% year-over-year. And second place, to incorporation of results from CFA, which amounted to Ps. 63.2 million as well as a Ps. 25.9 profit from the amortization of the negative goodwill stemming from its acquisition. The second quarter of the previous year did not include any results from CFA as the Bank took the control of CFA at the end of June 2010. As of June 30, 2011, the Bank’s consolidated credit exposure to private sector reached Ps. 31.2 billion and its market share of loan to the private sector was 8.96%. The banks total deposits reached Ps. 27.8 billion as of said date and its estimated market share of deposits from the private sector was 8.89%. Asset quality continued to improve during the second quarter as the non-accrual loan portfolios to total loan ratio reached 3.06% and it’s coverage with allowances for loan losses reached 141%. These ratios compared to 4.57% and 114% from the same quarter of 2010 respectively. As regards to the Bank’s results, the average interest earning assets grew by Ps. 7 billion as compared to same quarter of the previous fiscal year, as a consequence of the Ps. 9.6 billion increase in the average portfolio of loans to private sector. Interest-bearing liabilities increased only Ps. 6.4 billion during the same period due to increase of the average balances of savings accounts, term deposits and debt securities together with incorporation of CFAs interest-bearing liabilities. Net income from services increased 40% year-over-year with very high growth increase related fees, fees related to credit cards to foreign trade and to deposits. Provision for loan losses for the second quarter amounted to Ps. 191.9 million, Ps. 76.9 million higher than the same quarter of the prior year including Ps. 9.8 million corresponding to CFA. Administrative expenses were 62.6% higher than the same quarter of the previous year or 48.3% without CFA. Personal expenses grew on top of the incorporation of CFA due to salary increases agreed with the union and 292 new employees at Banco Galicia and 793 at the regional credit-card companies. The remaining administrative expenses increased 63% or 45% without CFA. This greater level of activity, the opening of 22 new branches mainly at the consumer finance business and the inflation during the period. As of June 30, 2011, the Bank’s consolidated computable capital exceeded by Ps. 1.5 billion, the Ps. 2.4 billion minimum capital requirement. This excess was of Ps. 1.1 billion as of the same date of the previous year. As of the end of the second quarter, the Bank’s liquid assets represented 74.1% of the Bank’s transactional deposits and 39.6% of its total deposits. In summary, this was another very successful quarter with a continuous growth in internalization with the private sector, on a consolidated basis and in total net financial income and peso growth. We also gained market share in both deposits on loans, improved asset quality and increase in ratios and we expect to continue to delivering high ROEs in the short term in order to improve the solvency of the Bank. We are now ready to answer the questions that you may have. Thank you.
Operator: (Operator Instructions). We’ll go first to Nicolas Chialva of Itau.
Nicolas Chialva – Itau: Hello, good morning, everybody. Thank you very much for the conference call. Pablo, my question regards the prospects for further expansions on branches and personnel and the impact it may have on administrative and personnel expenses. What are your plans going forward given the current economic scenario and prospects for growth in the financial sector in national [inaudible]?
Pablo Gutiérrez: Okay. Hi Nicolas. First, I will begin with the Bank. For the second half of the year, we are ambitioning the opening of around five branches. And, for next year, we have a plan to open around 15 additional branches. Of course, we are paying attention to the international and local scenario. This is the current status. Of course, five of this in the second part of the year are more likely to occur. The other 15 is the plan, but it will depend on the conditions. For the regional credit card companies, we have Tarjeta Naranja. We’ve done expansion basically in the outskirts of Buenos Aires. From – I would say that in the second half of the year and next year, the plan is to open around 15 branches; some also in the City of Buenos Aires. And in the case of Tarjeta Cuyanas, the other company of the regional credit card companies in the same bit of time, around 10. So – but again according to the conditions locally and internationally, we are going to implement these openings or not.
Nicolas Chialva – Itau: Thank you, Pablo. Are you envisioning any further pressures by the unions on non wages? What is – if any your expectation for the next few years?
Pablo Gutiérrez: Well, we don’t expect any opening of the negotiation for this year. In May, there was an agreement that they gained a 29% sudden increase. They are 20% for the first four months. Next year, it will depend on the – on the inflation – expected inflation, but it’s hard to say a number today. But definitely we don’t ambition any opening for this year.
Operator: (Operator Instructions). We’ll go next to Federico Rey of Raymond James.
Federico Rey – Raymond James: Yes. Hi, good morning, everybody. I have a question regarding salaries. I know that some of your competitors in this quarter showed flat operating expenses growth considering that the – some of them have already provisioned some increases during the first quarter. I would like to understand if you configure that type of provisions during the first quarter, what should be the level of growth in operating expenses by the end of the year? Thanks.
Pablo Gutiérrez: Hi. In the first quarter, we had provisions that 25% sort of increased. At the end of the day it was 20% for that period. And now we are with the 29% agreed. So basically for the second half, the salary increase or the personnel expenses will be related to the new employees than to higher salaries basically. It’s hard to comparison now, as I mentioned, because with the CFA incorporation, this growth rates and administrative expenses looked very high in the first. In the next quarter, once we compare the third quarter with the third quarter of last year that already included CFA the percentages will be, I would say lower definitely.
Federico Rey – Raymond James: Okay, thank you.
Operator: (Operator Instructions). Gentlemen, at this time there is no one else in the queue. I’m sorry we do have Walter Chiarvesio of Santander Bank.
Walter Chiarvesio – Santander Bank: Hello Pablo. Thank you for the conference call. A few questions. First, if you could provide some guidelines regarding the credit to gross that is being stronger at least in our view to what we could have anticipated six months ago. For the year, what do you expect? For the remaining of the year and the next one, especially given that we are having elections, what is the strategy of the bank in that sense? Secondly, I would like to ask you what do you expect regarding the mix of deposits. I observed that in this quarter, the core deposit – side deposits grew faster than the term deposits. And if this is been affected by the retail purchases of dollars in an incurred [ph] yield, what – how do you think that this will evolve in the near future and into the coming future given the strongest credit growth rate? That is my first question. I have another two, but I think that is enough for the moment.
Operator: Ladies and gentlemen are you listening [Technical Difficulties].
Pablo Gutiérrez: Can we – you hear us?
Operator: Thank you, please proceed.
Walter Chiarvesio – Santander Bank: Thank you.
Pablo Gutiérrez: Okay.
Walter Chiarvesio – Santander Bank: Okay.
Pablo Gutiérrez: Definitely we think that the second half of the year will have a deceleration in terms of a growth rate. But nevertheless we are projecting a growth for the year above 35% closer to 40%. Next year, depending on the assumptions of the GDP growth, we are thinking something between 3.5% and 4% growth that will imply growth for loans between 25% and 30%. This is how things are today. Of course, international scenario have complicated in the last couple of weeks. In terms of the mix of deposits, yes we think that transactional deposits will gain share, especially till the elections. If people tend to dollarize their portfolios, we already have seen that happening. But it is something that we have in our projections since the beginning of the year; it’s a typical behavior before an election year.
Walter Chiarvesio – Santander Bank: Okay. Thank you
Operator: (Operator Instructions).
Pablo Gutiérrez: And the other two questions, Walter?
Operator: I’m sorry sir. Please proceed, sir.
Walter Chiarvesio – Santander Bank: Yes. I wanted to ask, in the second quarter, the effective tax rate was a little bit lower than the first quarter. Why did that happen or if you could provide some reason for that? And what will we expect – what should we expect for the whole year 2011? That is one of the questions. Just one. Thank you.
Operator: [Technical Difficulties] if could you just adjust your phone?
Pablo Gutiérrez: Yes.
Operator: Please continue.
Pablo Gutiérrez: Yes. The effective tax rate in the second quarter was lower than in the first one. Sometimes it’s hard to compare the tax accounting with the disclosure accounting. It has to – it has two – basically two issues, one is the provisioning and the other is the evolution of public sector exposure. Going forward, the effective tax rate should be closer to the one that we registered in the first quarter.
Walter Chiarvesio – Santander Bank: Okay, thank you.
Operator: And gentlemen, at this time, there is no one else in the queue.
Pablo Gutiérrez: Okay. Thank you for your participation in this call. And please do not hesitate to call us if we can be of help with other questions that you may have. Good morning, bye-bye.
Operator: And that does conclude today’s conference call. Thank you for your participation.